Operator: Good afternoon. Thank you for attending today's Marchex fourth quarter 2024 earnings call. My name is Cole, and I will be the moderator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. If you would like to queue for a question, you can do so by pressing. And now I would like to pass the call over to Trevor Caldwell. Please go ahead.
Trevor Caldwell: Thank you, Cole. Afternoon, everyone. And welcome to Marchex's business update and fourth quarter 2024 conference call. Joining us today are Edwin Miller, our CEO, Russ Horowitz, our chairman, and Brian Nagel, our SVP corporate controller. Before we get started, I would like to take this opportunity to remind you that our remarks today will include forward-looking statements, including references to our financial and operational performance, and actual results may differ materially from those contemplated by these forward-looking statements. Risks and uncertainties that could cause these results to differ materially are set forth in today's earnings press release and in our most recent annual and quarterly report filed with the SEC. Any forward-looking statements that we make on this call are based on assumptions as of today. And we undertake no obligation to update these statements for subsequent events. During this call, we will present both GAAP and non-GAAP financial measures. Reconciliation of GAAP to non-GAAP measures is included in today's earnings press release. The earnings press release is available in the Investor Relations section of our website. At this time, I would like to turn the call over to Edwin.
Edwin Miller: Thank you, Trevor. Good afternoon, everyone, and thank you for joining us today. We appreciate your interest in Marchex, Inc., and look forward to sharing our progress as we execute on our strategic vision and objectives. I would like to start by thanking our employees, customers, and shareholders for their continued trust and commitment. Our vision is clear. We are building a global leader in conversational intelligence delivering cutting-edge AI-driven solutions to Fortune 500 companies and beyond. In a data-driven world, businesses need real-time insights to make informed decisions. And we are at the forefront of enabling this transformation for our customers while leveraging unique first-party data. Looking back at 2024, I am proud of what we achieved. It was a year of foundational progress and sets the stage for our next phase of execution, acceleration, and growth. A key highlight was a successful completion of OneStack in the fourth quarter, which unified our numerous data stacks into a single cloud-based architecture. This was a significant strategic lift for our company given the size of our data assets. Further, this was a critical step in optimizing performance, scalability, and efficiency across our business. With OneStack now implemented, we are well-positioned on a forward-looking basis to serve enterprise customers with seamless high-performing AI solutions. We now have a technical foundation in place to accelerate innovation and launch growth initiatives throughout 2025. Beyond the foundational technology initiatives, we made important strides in refining our go-to-market strategy, strengthening our customer relationships, and expanding our reach across key vertical markets. Turning to 2025, we see this year as a launching point, one where the groundwork from 2024 sets the stage for measurable sustained growth and increased efficiency. We remain focused on building a $100 million revenue-plus business and we are taking deliberate steps to achieve this goal. In the coming months, we will complete multiple technology advances that leverage the Marchex cloud platform. Two of these exciting initiatives are our unified user interface or UI. This creates a seamless intuitive experience across our entire product suite. Further, this will enable one-to-many go-to-market capabilities where all of our AI signals are consumed by our customers through one web-based interface. Second, our single sign-on or SSO. This simplifies our customer enterprise access and security and significantly enhances the overall customer experience with the Marchex platform. These initiatives will accelerate our progress, advance our innovation initiatives, improve efficiencies for our customers, and enable Marchex with well-timed cross-sell and upsell capabilities that can help unlock our growth opportunity. As we move through the year, we will also deliver numerous new AI-powered products. Beginning this quarter, we will launch our new vertical-specific AI solutions to complement our recent launch of Engage for Service. There is more to come this year, including the rollout of our partnership with Microsoft as well as other new channel partners and marketplaces. These innovations and expanded sales channels will strengthen our position as the go-to conversational intelligence provider for large enterprises in our vertical markets. To take advantage of this progress, we moved aggressively at the beginning of this year to reposition our team for the future and further alignment of our organization for growth. This included gaining organizational efficiencies in certain areas, while freeing up resources to increase our investments in our sales and marketing teams. This will position us to accelerate the business while continuing to preserve financial discipline. With that, I will hand the call to Brian.
Brian Nagel: Thank you, Edwin. For the fourth quarter of 2024, revenue was $11.9 million versus $12.4 million for the same quarter last year. During the fourth quarter, we saw a typical seasonal flow of call volumes with overall volumes decreasing relative to the third quarter across our core verticals along with some headwinds on a year-over-year basis in certain customer segments, like small business resellers. As a reminder, we typically see a 10% to 15% decrease in volumes across our core verticals in the fourth quarter. In the future, with the launch of our new products, new channel partners, along with new initiatives to enhance our cross-sell and upsell initiatives, we believe these measures have the potential to offset some of these historical seasonal patterns. Turning to operating expenses for the fourth quarter, excluding stock-based compensation, amortization of intangible assets, and acquisition and disposition-related costs, total operating costs for the fourth quarter of 2024 were $12.9 million compared to $12.6 million in the fourth quarter of 2023. Cost of revenues was $4.4 million for the fourth quarter. Cost of revenue as a percentage was improved on a year-over-year basis compared to the fourth quarter of 2023. Cost of revenue was somewhat higher sequentially due to the timing of certain expense items, including costs related to the completion of our infrastructure and OneStack initiatives. We believe that there is significant room for additional efficiency with our cost of revenue as new AI products are introduced and sell through. Sales and marketing costs were approximately $3.4 million for the quarter. This was up from the fourth quarter of 2023 as we increased our investment in our go-to-market teams. As we complete ongoing phases of our infrastructure initiatives, we will be balancing profitability goals along with increasing our investment and growth initiatives. Product development costs were $2.8 million for the fourth quarter, as we continue to invest in expanding our AI suite of products and innovation. Moving from profitability measures, adjusted EBITDA was a loss of $386,000 for the fourth quarter of 2024, which was down from an adjusted EBITDA of $112,000 for the fourth quarter of 2023, reflecting our investments related to infrastructure initiatives. GAAP net loss was $1.9 million for the fourth quarter of 2024, or negative $0.04 per diluted share. This compares to a loss of $1.1 million or negative $0.02 per diluted share for the fourth quarter of 2023. Adjusted non-GAAP loss was negative $0.03 per share for the fourth quarter of 2024 compared to $0.00 per share for the fourth quarter of 2023. Additionally, we ended the fourth quarter of 2024 with approximately $12.8 million in cash on hand. Now turning to our business outlook. The following forward-looking statements reflect Marchex's expectations as of March 6, 2025. For the first quarter ending March 31, 2025, revenue is currently anticipated to be in the range of fourth quarter 2024 levels. Adjusted EBITDA, excluding certain one-time expenses associated with organizational realignment, is currently anticipated to be in the range of fourth quarter 2024 levels. This takes into account typically higher first-quarter operating expenses compared to the fourth quarter of 2024 and some overlap of charges related to the completion of OneStack initiatives. For the fiscal year 2025, revenue is currently anticipated to grow on a year-over-year basis with the opportunity for sequential revenue acceleration throughout 2025, as we execute on a series of strategic sequential product launch and go-to-market initiatives. Gross margins for the full year 2025 are currently anticipated to be higher than 2024, with the opportunity for improvement during the year. Adjusted EBITDA is currently anticipated to be positive for the full year 2025. Given our current belief that the company can increase revenue sequentially, while also continuing to gain expense efficiencies, we believe we have the opportunity to see meaningful improvements in sequential quarterly adjusted EBITDA. To the extent this progress manifests throughout the year, we may have the ability to allocate some of these potential gains into incremental discretionary investments and growth initiatives. With that, I will hand the call back to Edwin.
Edwin Miller: Thank you, Brian. From a financial perspective, we are striving for sequential growth throughout the year, driven by customer demand, the expansion of our product offerings, and the efficiency gains from our technology investments. We also anticipate achieving significant positive adjusted EBITDA progress for the full year, demonstrating both revenue growth and operational discipline. We will deploy some of this progress back into our growth initiatives. To summarize, 2024 was a year of foundational transformation, and 2025 is our year of acceleration. With a strong foundation in place, a clear vision, and an exceptional team, we are more confident than ever in our ability to deliver innovation, sustained sustainable growth, expanded market leadership, and further creation of long-term value for our customers and shareholders. Thank you again for your support and I look forward to keeping you updated on our progress throughout the year. Now let's open up the call for questions.
Operator: Great. If you would like to queue for a question, you can do so by pressing star one. If you would like to remove your question, it is star two. Partners? Your line is now open.
Dillon Heslin: Hi. This is Dillon. Thanks for taking my questions. Just to start, when you talk about your outlooks, in how revenue is supposed to improve sequentially throughout the year? Can you just talk a little bit about what you are seeing gives you confidence into any line of sight and how that is a bit different from some of the things in the past that were sort of above the similar tone.
Trevor Caldwell: Thanks for the question, Darren. Russ, go ahead.
Russ Horowitz: Sure. I can start and feel free to jump in. Yeah. One of the things that Edwin's really hit on is all the technological progress in terms of our positioning the platform, with kind of the emergence of generative AI, to innovate more rapidly and do so in a way that is easier to sell and easier to adopt. And so right now, when we look at what the critical path items have been for us to expand conversation volumes beyond our traditional sales and marketing use cases, things such as service, we're now in a position where we've got clarity around our ability to capture more conversation volumes with our predictive and prescriptive analytics solutions. When we look at our ability to rapidly leverage our first-party data into new AI signals and bundle those into vertical-specific solutions, we've got clear line of sight of which customers can most harvest the value impact of those. And when we look at the critical path aspects around a new unified UI, and call it click-to-buy or accelerated adoption and launching of products, these are what we collectively look at as our strategic sequential accelerants for 2025 and why we think 2025 is different than prior years. When we look at how we can build the business and accelerate it, and, you know, hopefully, see that translate into, you know, kind of higher run rates. And with the combination of higher revenue and increased efficiencies with gross margins and operations, you know, the latitude that comes with expanded adjusted EBITDA, both to accrue to the bottom line and invest more in growth.
Trevor Caldwell: Yeah. And I would ask go ahead, Darren, again. Thanks for the question. Good to hear you. I would add a few things. One, and I did mention this in the reading, but the one platform, having everything in one stack is really huge that delivers the ability for us to have that single UI and single sign-on, which means every client can now in the near term, access all signals in one web interface. And in the past, we would have to have multiple interfaces for them as we put everything together in one platform. That's come together really, really well. I don't think the team is working really well together. So Troy's got a our CRO has a great handle on what the strategy is and how to implement the go-to-market motion, and I think Brian's come on board and done a great job, so I think that's really important. We got one billing system coming that enables our channel including a new API to take off. So there's a lot of things we did, a lot of work, and past couple of years that are gonna help us make this a transformational year.
Russ Horowitz: I mean, this is what you asked is the critical question. So historically, we've sold one-to-one enterprises. Now, you know, hitting on what Edwin just said, gonna light up channel partners and be able to sell one-to-many. So that kind of expands the opportunity. You know, we mentioned engaged for service. You know, now we look at expanded franchises and dealers that we can sell direct to on increased volumes. And, you know, the expansion of our addressable market as part of this. Those are all the things that make us feel like 2025 is gonna, you know, be a year where we see a lot of these investments. Yeah. That's
Trevor Caldwell: Thank you.
Russ Horowitz: That's an important one, Russ, and that's, you know, when I put the range here, we were selling into a sales group or marketing function, with engage for service we jump the suspense and now are selling into service business units. And there are multiple multiple functions we've spoken of, whether it's operation, operations, a strategy group, a data analytics group, a CSAT group, a customer experience group, all those groups are now with the single UI and what we're doing with our data analytics and the first-party data are able to either view their data in a new continuing new ways with signals. And, additionally, we can ingest the data they're pulling in from other systems like a POS or their survey data, etcetera. They give them a view a better view of how to make great business decisions. So it's looking forward to getting into the year.
Russ Horowitz: Hopefully, that helps going.
Dillon Heslin: Yeah. Thank you. And just as a follow-up, know it's really fluid, but considering your exposure to Auto OEMs. Can you talk about how tariffs might potentially impact your market presence?
Russ Horowitz: The look. Yeah. Right now, I know, there's, I think, a lot of unknowns and, you know, people kind of speculating on what some of those might be. You know, we do know that, you know, auto has managed through ups and downs, supply chain disruptions. We looked through that. Kind of in and beyond COVID. And so, you know, some of that, you know, we just gotta kinda wait and adapt to based on, you know, what normalized behaviors look like. Currently, in our planning cycles, there's nothing specifically that's come up that we view as disruptive. Doesn't mean it can't happen, but at this point, Hi. Know, our dialogue is really tied towards the strategic road maps of our customers and we have not yet heard anything specifically related to tariffs that are disrupting those in any manner.
Dillon Heslin: Great. That's it for me. Thank you.
Russ Horowitz: Thank you.
Operator: We have no further questions at this time, so I'll pass the call back to the team for any final remarks.
Russ Horowitz: Okay. Thank you all for joining, and we look forward to our next call. Take care.
Operator: That concludes today's call. Thank you all for your participation. You may now disconnect.